Peter Harrison: Good morning, everyone. Welcome to our results for the First Half of 2020. I'm joined today by Richard Keers, our Chief Financial Officer. Unfortunately, and for obvious reasons, we can't follow our usual routine of welcoming you to our offices at London Wall, but we will follow the same format as usual. I'll give you a quick overview of the results and the flows and strategic progress, and then I'll hand over to Richard to walk through the financials in more detail before coming back, a quick look at the outlook and then Q&A. If you're not logged on to the webcast, you won't be able to view the slides that we're showing, but these are downloadable from the website, but hopefully, you are logged on to the webcast. You'll all have seen the results that we released this morning. We consider these to be particularly resilient, given the extraordinary circumstances we've all lived through throughout this year. Our diversified business model has, again, performed very well, and generated pre-exceptional profits before tax of just over £306 million. We continue to see good levels of net new business. Our clients entrusted us with £38 billion, driven by two of the three strategic business areas, Solutions and Wealth Management. And we, again, recorded a new high in assets under management, finishing the period at £525 billion. Our strong capital base meant that we were in a position to declare an unchanged dividend at 35p per share. Now, clearly, we've all experienced an enormous amount of upheaval through the first half as we transition to a new way of working. At our peak, over 99% of our people were working remotely. And I have to say, I was really pleased by how well everyone's adapted. Through their efforts, and thanks to the investment we've made in technology over recent years, productivity has remained high, and the business really hasn't missed a beat. These are extraordinary times. I do believe we've got a responsibility not just to clients and shareholders, but to wider society and the communities in which we are operating. And as an active manager, we've been very engaged with companies in which we invest, supporting them through either capital raises, corporate bond issuance and through general governance activities. You may have also seen that we're launching an investment trust in the UK, focused on a COVID response, and within BlueOrchard, our impact investing group, we've launched a product to support COVID-affected developing economies, aimed at maintaining jobs and building out healthcare systems. Assuming we reach our fundraising target of $350 million, this fund will look to protect 150 million jobs. So there's plenty for us to do. So overall, robust performance at the headline numbers, but let's look at them in more detail. At our full year 2019 results in March, we reported our business in a new way that split assets over five business areas that you'll be aware of: wealth management, private assets and alternative solutions, mutual funds and institutional. And turning to the first chart, you'll recognize this from that presentation. But I wanted to provide you with an updated version today. I've talked in the past about the three strategic objectives of moving closer to our clients through wealth management, expanding our investment capabilities in private assets and growing our core business through solutions. These objectives remain unchanged and clearly map into the first three business areas. At the end of June, the strategic growth that we've achieved together accounted for 54% of AUM, that's up from just over half at the year-end. But if you look from the start of 2016, when we set this strategy out, it's grown from 35%. Similarly, their contribution to the group has grown over the period from 29% at the beginning of 2016 to 44% today. Now that's not to say that mutual funds and institutional are not an important and valued part of our business, they still account for over half our revenues, and we see growth opportunities across both. But moving forward, we expect these first three areas will be the primary drivers of future growth. Now I'd like to walk you through the highlights of the first half in each of these business areas, and I'll start with Wealth Management. Wealth continued to see strong momentum in the first half of the year. Richard will give you the details, but we've seen good growth in both revenues and profits. Now client experience is, obviously, key in this area, and we've been helped by continued strong investment performance right across the business area. Over three years, 80% of our wealth management assets have outperformed their objectives. We also continue to see good client flows. We saw £1.3 billion of net new business in the first half. Another good performance from Cazenove, £0.8 billion of inflows, but we're also supported by £0.4 billion of inflows at Benchmark Capital. Now Schroders Personal Wealth also saw positive flows, but these were somewhat more muted at around £0.1 billion. You'll be aware that the growth of this business relies on client referrals from the network of Lloyd's branches across the country. And with these branches being forced to close, as a result of COVID, we, inevitably, saw a decrease in the amount of referrals coming through. This is absolutely a short-term issue, and our confidence in the business model and underlying growth story remains unchanged. And we've made very good progress at transitioning clients onto the new technology platform for future growth. Now moving on to areas within asset management. Firstly, if we start with private assets and alternatives. Overall, we saw a small net outflow of around £0.4 billion. But actually, we need to look underneath the underlying story to draw a distinction between private assets and alternatives. And if you look at Private Assets, first of all, we continue to see good net inflows in real estate, private equity and infrastructure, cumulatively around £0.7 billion. What drove the outflows, however, were redemptions from the more liquid alternatives side, most notably emerging markets, debt, absolute return strategy and in our third-party managed GAIA fund range. We also saw some really good progress on future fundraisings, which will be – to close in the second half of this year in real estate, private equity and impact investing funds. And it's worth considering that, in many cases, the private assets business model relies upon client road shows, getting out there and meeting investors to raise new capital. It's clearly not an environment in which it has been easy to do this, or in many cases, even possible. So against that challenging background, I'm reassured that we've seen both inflows in private assets and good levels of fundraising activity looking forward. You might also have seen that we announced an acquisition a few weeks ago. Pamfleet is a real estate manager with an exceptional track record of investing in Asia, and this allows us to expand our real estate capabilities and build yet further our global footprint of private assets. It joins the group with just under £1 billion of AUM, and we expect it to complete in the coming days. Now on to our third business area, Solutions. It's clear from the graph, on the right, that this has been another successful period for our Solutions team, and really driven by bulk of new flows in the first half at over £42 billion of net new business. Of that, SWIFT accounted for £28.7 billion of inflows. So there's good growth beyond that. We saw a number of other mandates, including a significant U.S. win, which we alluded to at the half year stage. There's also good momentum here and strong growth in both inflows and AUM. Solutions now accounts for one-third of our total group assets. Now what could be considered the more traditional areas of the business, Mutual Fund flows and Institutional? Clearly, the backdrop here has been more challenging, and we've seen a risk-off environment pervade across both areas through much of the first half, and particularly concentrated in a six-week period in March and April. I'll come back and look at the asset class view shortly, but we've seen, across both of these charts, is a move out of equities and into fixed income. In mutual funds, we saw net outflows of 4.8 billion, the vast majority of which came in March, as that global crisis first hit. The second quarter was still slightly net negative, saw a good degree of stability of flows and indeed in many global markets. In institutional, there were small outflows of £0.7 billion despite some mandate funding across the UK and U.S.-based clients. If we look at the asset class view, we can immediately see there's a very clear picture of flows into multi-assets and, to a lesser extent, fixed income and some flows out of equities. Interestingly, this contributed from a risk-off environment, and the resulting change in asset allocation rather than anything performance-related. Our investment performance in both equities and fixed income has held up really well. 69% of our equity assets outperformed, [indiscernible] they're primarily judged against demanding market indices, and 79% of fixed income outperformed over the three-year period. To look at each, in turn, multi-asset inflows £42.1 billion, largely driven by solutions mandates, largely in risk control growth and LDI. Fixed income saw £2.2 billion of net inflows institutional demand for U.S. and global bond strategies and ongoing retail flows into European credit, which you'd expect. Private assets, I've already discussed, with £0.4 billion of outflows. And finally, on to equities, where risk-off environment led to outflows totaling £7.1 billion. We did have some positive inflows into global equities, but otherwise, the crisis really hit across all regions and all desks. Finally, on flows, a quick look at the regional view. The UK had a very good first half of the year with £34 billion of inflows, going back £28 billion of that obviously being SWIFT, but private assets and institutional business also produced good positive flows. In America, £9.4 billion of positive flows. Again, solutions was the largest contributor, and it's encouraging to expand that capability from outside our home market of the UK into the U.S. Latin America also had a good first half, £0.5 billion. And I think what really encouraged me was the breadth of new product sales, which are now going into the U.S. in terms of a number of different strategies we've been able to export there. If we look across Europe, we saw £2.8 billion of outflows, which I think is to be expected given the cyclicality of the region and mutual fund redemptions, which impacted most of our region offices, with a notable exception of Spain. And Asia Pacific, where, of course, the crisis hit first, it really was a case of risk-off right across the region. We saw £3.7 billion of outflows, again, led by redemptions in Australia, which were offset with some positive inflows in our direct China business. Before I hand it over to Richard, I just want a quick word on our joint ventures and associates, which are becoming increasingly important. They've been growing steadily over recent years and making a real contribution to results. So I wanted to go into a little bit more detail on the main three: BoCom Schroders in China, Axis in India and Schroders Personal Wealth in the UK  First of all, BoCom has been a fantastic success story and continues to deliver really strong performance, both in investment terms and financially. Fundraising activity has been very successful this year with a number of oversubscribed IPOs. Net new business in the first half of the year was over £9 billion. And the business, in aggregate, has now almost reached £70 billion. Neither of these numbers are included in our net new business or our assets under management figures. We've also seen good growth from our JV partner in India, Axis Bank. They saw over £2 billion of inflows in the first half, growing AUM to over £15 billion. And then market share continues to move upwards, and is now over 5.5%, reaching the eighth largest mutual fund complex in India and fourth largest in equities. I've already touched Schroder Personal Wealth earlier, but to reiterate, it's understandably been a challenging period to raise inflows with bank branches being forcibly closed. But the process of moving clients onto a new technology platform continues the pace, and lifting that business out of Lloyds has – we've made good progress on that. We remain very confident in the long-term growth story and the business potential. On that, I'll hand over to Richard, and come back and talk about the outlook in a moment. Thank you. Richard?
Q - Richard Keers: Thank you, Peter, and good morning, everyone. As you just heard, the business has continued to function well in what are extraordinary times. This performance is reflected in the resilient results that we have announced this morning, which demonstrate the benefit of our diversified business. I'll now talk you through the key components, starting with net income. Net income was £29 million lower than H1 2019. You will remember that our segmental reporting now includes the proportional consolidation of SPW. Showing it this way reflects how we manage the business and provides more relevant information about the revenue margins we earn on the assets. This slide shows how net income has moved on this basis. As you know, markets and FX, both – impact both the value and mix of our AUM. Together with margin attrition, they have reduced revenues by around £25 million. This reduction has been largely offset by net new business, which has increased revenues by £20 million. That's the impact of flows in the second half of 2019, together with the net inflows we have generated in the first half of 2020. As you may expect, performance fees and carried interest are slightly lower, but still reflect a strong performance. I'll come back to the other items shortly, but first, let's look at how these movements in net operating revenue come through the business areas. Starting with Wealth Management. We have continued to see strong growth from our wealth business. We generated net inflows of £1.3 billion in H1, with average AUM up 35% compared to the same period in 2019. As a result, net operating revenues increased to £180 million, including £35 million of revenues from SPW. This performance sustains the positive momentum we have seen over the past few years, in a strategically important part of the group. Wealth Management revenue margins, excluding performance fees, were 57 basis points. This is a bit lower than we guided to at the start of the year due to lower net interest margins and the impact of markets on the mix of business. The full year impact of these factors could cause the margin to reduce a little further, maybe 0.5 basis point. Moving to Asset Management. Asset Management net operating revenues decreased £33 million compared to the same period in 2019. We generated performance fees and carried interest of £18 million, reflecting strong investment performance in the context of the current environment. At the start of the year, we guided to £50 million of performance fees and carried interest. But, as always, it's very difficult to predict the final outcome for the year. Excluding these, net operating revenues were down £24 million or 3%. Let's look at how that breaks down across the four business areas that make up asset management, private assets and alternatives, solutions, mutual funds and institutional, starting with private assets. We have delivered strong growth in management fees as this increased 20% to £140 million. That was driven by a £7 billion increase in average AUM, which included the contribution from the acquisitions we completed in 2020, most significantly BlueOrchard. Peter has already mentioned that the current conditions have impacted fundraising activity. There has also been an impact on carried interest and the volume of real estate transaction fees, which fell from £31 million to £2 million, more than offsetting the increase in management fees. These fees are excluded from our net operating revenue margin, which was 63 basis points. We expect this to remain broadly stable for the year as a whole. This is slightly higher than the guidance we gave at the start of the year as we have had outflows from lower margin alternative products. Next, let's look at our Solutions business. As you've heard from Peter, we have generated net inflows of £43 billion into Solutions in the first half of 2020. That's greater than the pipeline I referred to at year-end, and reflects continued client demand in this growth area. As a result, AUM increased to £175 billion. This is the main driver of the net operating revenue increasing to £121 million. We had a net operating revenue margin of 15 basis points. That's a bit higher than my guidance for the full year, but this is simply due to the timing of net inflows, and we still expect our margin to be around 14 basis points for the full year. As I explained in March, the nature and size of these assets means that whilst they typically attract a lower revenue margin, the incremental costs are low. As a consequence, the profit margin is similar to the group's overall margin. And the assets have significantly greater longevity. It's these characteristics that continue to make this business an important part of our growth strategy. So overall, a good performance across our three strategic growth priorities. Let's now look at the mutual funds and institutional business areas, which continue to make an important contribution to the group. As you can see on the slide, these more traditional parts of our business remain subject to wider market pressures? Starting with our Mutual Funds business. Mutual Funds contributed £330 million of net operating revenues in the first half, down 9% compared to H1 2019. Average AUM was down 6%, as it was impacted by markets and the current risk-off environment. Our net operating revenue margin was 71 basis points, which is in line with the guidance I gave at the start of the year. That's three basis points lower than H1 2019 as a result of longer-term pricing pressures and changes in mix. We may see the margin drop a bit further in the second half, as the impact of markets on mix continues to come through, maybe a bit. Finally, to our Institutional business. Net operating revenues were £227 million, a little down from the £234 million we recognized in H1 2019. The decrease is principally a result of the current market conditions and the headwinds that I highlighted in March. We have continued to see clients derisk their portfolios and move asset allocations further towards lower-margin fixed income products. As a result, our net operating revenue margin has decreased to 31 basis points. That's 1 bp lower than guidance we gave at the start of the year due to the impact of falling markets on mix. The effect of that margin reduction has been partly offset by higher performance fees of £17 million, demonstrating our strong investment performance in equities and fixed income, which Peter referred to earlier. Like Mutual Funds, we may see the margin drop a bit further in the second half to around 30 basis points for the full year as the mix impact continues to come through. Clearly, there will be some offset if equity markets performed strongly in the second half. Let's now return to our net income slide. As we said before, targeted acquisitions have a part to play as we build our capabilities in line with our overall strategy. Acquisitions increased net operating revenues by £20 million compared to the same period in 2019. That's driven by the acquisitions we completed in 2019, mainly BlueOrchard, Blue Asset Management and the wealth management business of ThirdRock. You'll also recall that associates and JVs are an important part of our growth strategy. I've already talked about SPW as part of our wealth management business. Excluding that, our share of profits from associates and JVs increased by £6 million for the half year. That was principally driven by the continued growth in our partnership with Bank of Communications in China. Given the increasing significance of BoCom and our results, we have set out some additional detail on this slide. Peter has just talked about the £9.1 billion of record net inflows in the first half of the year. And at the end of June, the business had £69 billion of AUM. These flows have primarily been into higher-margin products. This has helped to improve revenue margins from 22 basis points in H1 2019 to 29 basis points in the first half of this year, which has translated to increased profits. Now to wrap up on net income. Other income increased £17 million compared to the same period in 2019. This is largely due to fair value movements and financial – on instruments. They include unrealized losses of £13 million on seed capital, co-investments and investment capital. Whilst we have marked these positions down in line with accounting rules, the movements are considered temporary. So we have seen the recent market volatility impact the results in three areas: first, management fees, which are directly impacted by lower asset values and lower margins as a result of changes in business mix; second, lower carried interest, due to falls in net asset value of the underlying investments, although we have seen an offset from higher performance fees, which generally arose earlier in the year. And finally, our proprietary investments that I've just mentioned, bringing all of that together with other movements, net income was down £29 million to just over £1 billion. Now let's turn to costs. Comp costs continued to be the biggest component of our cost base, as they make up 65% of our total costs. We have increased our comp ratio to 45%, which brings it within our target range of 45% to 49%. It means total comp is still down, despite an increase in headcount. Non-comp costs were £248 million, up £9 million compared to H1 2019, mainly due to acquisitions. This is better than I guided to at the start of the year, reflecting cost savings, principally in marketing and travel. We may see some return to more normalized cost levels in the second half, but this will be dependent on COVID-19-related developments as well as FX rates. You will recall the chart on the right from the year-end presentation; it shows our non-comp cost as a percentage of our average AUM. The percentage increased over the last couple of years as we invested in our systems and technology. But as I previously highlighted, it is now starting to come back down. On an annualized basis, non-comp costs have fallen from 11 basis points in 2019 to 10 basis points in the first half of 2020. You'll appreciate that this incorporates some of the cost savings I've just highlighted. But importantly, it also demonstrates the efficiencies we are able to deliver as we build scale and leverage our new operating platform. Our investments in systems and technology have also provided operational flexibility. In the current environment, that has been especially important in enabling a smooth transition to remote working and allowing the business to continue to operate as normal to deliver against our strategic priorities. As an illustration of this operational resilience, we have successfully completed a major operating model change by moving our UK transfer agency services to HSBC. That's a culmination of a three-year program, which completed in line with our plans, but whilst in lockdown. Now let's turn to the final section on capital. Notwithstanding the current market environment, you can see we continue to maintain a strong capital position. This is a key strength, particularly in the current environment. It means we can continue to invest in the future growth of the business and demonstrates once again the resilience of our business model. So in summary, we generated profit before tax and exceptionals of £306.2 million. We had exceptional items of £26 million. As you know, these are typically acquisition-related and are principally the amortization of intangible assets. Meaning a profit after exceptional items of £280.1 million, the tax rate was 20%, resulting in a post-tax profit of £222.7 million. Reflecting this resilient performance and our strong balance sheet, we have declared an unchanged interim dividend of 35p. Overall we believe this is a robust set of results delivered against the extraordinary backdrop. I now hand you back to Peter.
Peter Harrison: Thanks, Richard. A quick word on the outlook, and then we'll move straight on to Q&A. We've clearly been through an extraordinary time in the first six months, and I don't think any of us could have predicted it. And the end of the first quarter finished with extreme market volatility. And we've clearly seen markets stabilize a little and volatility recede significantly. I do think there's uncertainty remaining. I think any recovery will be correlated with the effectiveness of containment measures taken by governments and efforts around the world. But as far as our business is concerned, we very much remain focused on delivering our strategy. We'll continue to invest for future growth of the business, repositioning towards those areas of high quality and high client longevity. And the resilience of the business model and diversity of the business model is really important to us. I think it showed – paid real dividends in this period, and will continue to do so during further periods of stress. With this focused strategy and a highly diversified model, we do believe that we're well placed to carry on delivering long-term value for both clients and shareholders, and particularly delivering good investment performance, which, at the end of the day is fundamental to active managers beating market indices. With that, let's go straight on to questions. I'm very keen that you should be free by 10 o’clock to be able to do the man results. So let's move straight on to questions.
Operator: Thank you [Operator Instructions] So the first question in the queue comes from the line of Gurjit Kambo from JPMorgan. You are un-muted. Please go ahead.
Peter Harrison: Hi there, thank you for the presentation. Just a couple of questions. Just, firstly, just on the private asset side of things, what sort of – just – can you give us a bit more color around, are you seeing more appetite with the liquid structures? Or are you seeing some of the closed-end funds seeing more demand? And I think you mentioned a couple of launches in the second half. What sort of areas those are in, whether they're closed or liquid? And the second one is just on the U.S. just of heart – any sort of update there? What sort of product ranges are being sold? And then I wondered if you would just on the sort of [indiscernible] guide. Now that you gave the full year results on that page. Given we're clearly running below that, do you expect some acceleration in this [indiscernible] kind of back to more normal kind of second rates [indiscernible]?
Peter Harrison: I've got the first two clearly. We might ask you to repeat the third one. But let me just take the first two through. First of all, on private assets, the fundraisings that we're seeing in hotels where we've just raised the fund, the timing of which looks very opportune, if you think about what's happening in that sector. In infrastructure and in helping developing economies, particularly as a COVID-related fund, but there's also climate-related funds. So those impact funds, I think, are well timed. But there's also a couple of securitized vehicles there, so a [indiscernible] product which is a sort of response to what's going on in the U.S. and I think it's opportune in its timing. The more liquid structures actually are the ones causing the challenge. I think, in the short term, we've seen a real slowdown in liquid alts. There is a degree of cyclicality. I have to say I'm slightly surprised by that because our liquid old strategies have really delivered to label. And the investment we've made, for example, in Helix has done exactly what one would have hoped to do and limited downside drawdown. But I think what tends to happen is those things bounce back as markets normalize and people look at the compounded returns over time. But the private asset momentum is more in the longer-term fixed life stuff. On the U.S. Hartford has continued to deliver. We've seen activity, particularly in international equity, but I think that's a market share gain really in there. But activity in emerging markets and some in tax aware bonds but more I think for us, we're in a very decent position of taking share and exporting good products. I mean, the really interesting thing to my mind is what is it that we've been selling around the rest of the world that we can take to the U.S. institutional market? And there, you'll be aware that we've restructured our U.S. business a couple of years ago, and we're starting to see that pay dividends. The amount of business we're getting through the consultant channel has pretty well doubled as a portion of the total. And so not only in the intermediary half of the channel, but also institutional. It looks like a much better quality mix, Gurjit. Rich, did you get the third question?
Gurjit Kambo: Got it.
Richard Keers: Gurjit, we lost you halfway through your third question. Can we ask you to repeat it?
Gurjit Kambo: So yes, sure, Richard. Just on – thanks for the sort guidance around the margins, that's very helpful. Just in terms of the non comp, I think it was 520 the number you'd given at the full year results stage. So just given clearly you were running below that? And I suspect some of that is related to COVID, less travel, et cetera, should we expect like a normalization in the second half or a catch-up? So any guidance on that would be helpful.
Richard Keers: The full year guidance was 525. And clearly, we've seen, in the first half, an extraordinary drop in travel. We were looking to decrease our travel by 30%, but that was for doing the right thing for the environment and using our technology. But clearly, we didn't anticipate almost 100% drop off post-February. In terms of where – and travel is an important part of the cost base, where travel goes really depends on how well the market opens up. If it does, because there isn't a significant second spike, and I'm not a predictor of the future, then we would want to get back in front of our clients, and we would see some normalization. But I don't see that anytime soon, Gurjit. So it's not going to be an immediate pickup. And the same in certain degrees to marketing activity as well. It's sort of closely correlated. So the quicker we can get back to normal levels is a good thing, but I wouldn't anticipate it being a full impact in the second half. So there's clearly savings that are going to be banked, but we're also looking – I think what this crisis has taught us is we can use our technology better. We could be more efficient in terms of how we see our clients. As Peter has referred to, this has been a quantum change in human behaviors and how businesses are going to respond. So I think there will be some long-term things that we bank as well. There were a few things that distorted the first half compared to the year before. We – in 2019, we did have a very significant compensation credit for the late delivery of our building. Largely, the increase against 2019 to 2020 is we haven't had that £12 million credit and FX has hurt a little. I hope that gives some color?
Gurjit Kambo: Yes. Okay.
Richard Keers: It's quite difficult to be precise it really depends on how quickly the global market opens up.
Gurjit Kambo: Okay. But it feels like probably fair that we could probably trim a little bit off that 525 for the second half of the year?
Richard Keers: Yes. Yes, definitely. Okay. But the less we deliver in terms of the saving, the more the market is opened up. So it's a catch 22, yes, we want marketing activity in – so get back to see our clients.
Gurjit Kambo: Okay, understood thank you.
Operator: Perfect, thank you very much. We currently have five questions in the queue. The next question comes from the line of Nicholas Herman from Citigroup. Nicholas you are un-muted please go ahead.
Nicholas Herman: Yes, good morning. And thank you for taking my questions. A couple of questions, please. Firstly, on the wealth side, particularly SPW, I think, I heard you say that the net operating revenue for SPW was about £35 million. That suggests it would be something in the range of about 100 basis points margin, if I got that right. But it's a fair bit lower than the 160, I think, that we were previously guided to. So interested to hear what's going on there? And if you could update us on the margin expectations for SPW, please? Secondly, also on SPW in terms of the adviser build out, I appreciate that it's been difficult to get flows given branch cuts. But can you also update us on your build-out of the advisor network in SPW? And then, finally, on investment performance. You noted strong performance in equities and fixed income. But equally, it looks like your aggregate investment performance deteriorated in the first half versus in 2019. So where are you seeing weaker performance, please? Thank you.
Peter Harrison: Great. Thanks, Nicholas. I'll let Richard take the first one.
Richard Keers: The first one in terms of the SPW margins, I think, the difference is the 100 basis points is our share of those revenues. And the 190 that you referred to was the sort of the aggregate fee, but clearly, we only enjoy half of that, which is basically 100 basis points that you referred to.
Peter Harrison: If I could talk about the build-out of the adviser network. We've been working incredibly hard to upgrade the technology platform and basically re-platform the whole of that business. So adviser numbers is not our short term focus, although clearly, getting the academy set up and running is critical. And you'll see that we brought in Mark Duckworth, CEO or – previously CEO of Openwork, who had an excellent track record of building out the adviser numbers at Openwork. So we remain very focused on it, but it wasn't the priority in the first half, nor is it the priority actually in the second half. The key is to deliver people the right technology platform and get the referrals coming through. And then we want to ramp up. There's just a phasing period of getting the pipelines full. On investment performance, it's a really important point you make. I talked about 69% of equity, 70% of fixed income. The big delta with the three-year number is the multi-asset's performance number, which many of those funds have an absolute return or a CPI hurdle. So we're down in the 20% of our multi-asset funds, not beating the absolute return hurdle. That is a very tough measure. We don't report on narrow competitor numbers. But if you look at our competitive positioning of our multi-asset performance, we're still seeing good inflows. And we're typically second quartile against peers. But we choose to report it against the absolute return benchmark. So in this environment, it's hurt the reported numbers, but it hasn't really hurt our competitive position.
Nicholas Herman: Got it. That's very helpful. And therefore – and it sounds like, therefore, you're not concerned either that it could actually impact at a future date either then?
Peter Harrison: No. Look, I think that if you take the very long-term view, you clearly want to beat those absolute return hurdles because that's what clients are in it for. But we think that almost 70% of clients beating market indices, that's been a really tough hurdle for active managers. And the performance numbers that we're getting in are absolutely not a cause for concern at all.
Nicholas Herman: Great, thank you.
Operator: Thank you very much. Moving on to the next question, from line of Charles Bendit from RedBurn. Charles you are un-muted. Please go ahead. 
Charles Bendit: Thank you very much. A couple of questions from me. So one more in regards to Schroders Personal wealth, clearly flows rely on network referrals from Lloyds and therefore, being impacted by branch closures. But what are your expectations for the second half of the year around net new business now that things are opening up a bit? And then second question on BlueOrchard, which you acquired fairly recently. How is progress there? You mentioned it being a game changer in regards to impact investing at Schroders. Have you noticed clients increasingly engaging on ESG over the past six months, particularly after COVID? Those are my two questions. Thanks.
Peter Harrison: Yes, good questions, Charles. Thanks. So I think two things on the network referrals from SPW. Not only were the branches closed, but also within the branches, most of their senior advisers were focused on dealing with people's mortgage rescheduling, et cetera. So they weren't really focused on issues of wealth. Really quite hard to call the second half, I mean, you can see from the high street that there isn't a great deal of normality and people wandering around. So I don't want to predict that. Do I think that, fundamentally, the UK has a massive advice gap and a huge shortage of people that have – are now starting to think about their well-being and long-term financial planning? Absolutely. How that manifests in referrals? It's really quite hard to call. I mean, fundamentally, the long-term is very bullish. But short term, it's just hard to understand consumer behavior, difficult to be much, much more precise than that. But I think that we're clearly working hard on it. And I can see, I think, probably by the back end of the year, we'll get some good momentum, but it's very much guesswork. I'm afraid at this stage. On BlueOrchard, I think, impact becomes a new paradigm. My personal view is that ESG will cease to be something we all talk about in five years' time. I think it was just taken for granted. And we'll all be focused much more on impact. And that's clearly much easier to have in private markets than in public. There's been a huge amount of engagement on it. And the notion of this whole area of blended finance, where you work together with development agencies to have specific impacts, and they're often measured against UN SDGs that say how can you affect change in quality jobs or whatever it may be? And that's been a big area of discussion. And I think you're seeing clearly development agencies stepping up more and more around the world to address those problems, so good progress there. Also, we've just now got all the distribution agreements in place to get the full Schroders sales force being in a position to properly market the BlueOrchard products. So again, expanding that to the rest of the group will be an important part of it. But we've also benefited, I think, significantly from understanding their thinking and knowledge. I mean, these guys are real leaders in this area. The business was set up by the United Nations' initiative. And that, for me, is – they've been at it for 20 years. Most people have only just started out. And that knowledge base has been really important to helping our own thinking.
Charles Bendit: Thanks.
Operator: Thank you. And the next question comes from the line of Arnaud Giblat from Exane. Arnaud you are un-muted, please go ahead.
Peter Harrison: Arnaud?
Arnaud Giblat: Can you hear me?
Peter Harrison: Yes we have now.
Arnaud Giblat: Yes, great about that. I've got two questions, please. Firstly, on private assets. Clearly, that's doing very well. And you gave a bit of color on where the focus is in 1.5 years? I'm just wondering longer term, what sort of product initiatives, agreements might you be working on? What sort of seed money is going there to try and develop what's coming over the next five years? And especially a sub-question to that, when I look at what's going on globally, it seems to be that wealth channels are more and more pushing private assets. Is there an opportunity to leverage the ownership of both a wealth and a private assets business so to put them together to try and expand growth there? My second question is on BoCom. Thanks for the incremental disclosure. Do you have any thoughts about the rule changes in China, where you can increase ownership? Is that something you might be looking at? Thank you.
Peter Harrison: Sure. Thanks, Arnaud. First of all, private assets, I mean, the product initiatives are – I mean, we've seen them in a number of different areas. So infrastructure is really important to many insurance books. There are several new initiatives there. And an infrastructure equity fund to follow the debt fund that we're about to close. We're also seeing – we're just seeding a private debt capability in Australia, which we're quite excited about. And we do see there's a number of opportunities in real estate in all sorts of different markets, but particularly in Europe. And the other one I should mention is we're building out our secondaries team because, I think, one of the things out of this crisis is that secondaries are going to become a much, much bigger opportunity, as people get – holding things that they didn't previously expect to be called on. So I think there's good opportunity in the private asset space. And yes, we do see opportunities in our wealth channel. I mean, it's not something we have made the most of yet because obviously we're – the capabilities are relatively new to us. But we're just starting to introduce that we've done one or two products thus far, but I think there's a long way to go in that, and you raise a very important point. On BoCom, look, the first thing to say is we've spent 25 years building out our business in Shanghai. And as you drive in, the BoCom Schroders brand is an important part. We are a 30% shareholder in that business. I don't see us taking majority control. I don't think it's what our partner wants. It's not a business, which is for sale and, frankly, I don't think it's right. I think the business is working incredibly well, as it is, the track record is absolutely top drawer. And I think we should let that business continue to thrive as it is. But we are very involved in two other opportunities in China, which were coming down the pipe, and you've seen there's opportunities for us to have a wholly owned business, an FMC, which is the next stage of development from the PFM that we've got. And there's also a change of rules at the end of last year, after the party conference, whereby you can take a stake in a WMC, Wealth Management Company. And we're not at the end point of any of that thinking yet, but we do see that given the brand and given what we've been able to deliver, so far, there's considerable more opportunities in China beyond our JV. So plenty of work to do. We see this as the second largest equity market, third largest bond market is going to internationalize. It's highly digital, and it does play to a company with the breadth of our knowledge and critical mass. So I'm hopeful we'll be able to say more on that in due course.
Arnaud Giblat: Thank you.
Operator: Thank you. We have two more questions in the queue. The next question comes from the line of Hubert Lam from Bank of America. Hubert you are un-muted. Please go ahead.
Hubert Lam: Great, thank you very much. A couple of questions. Firstly, on the comp ratio, I think it was 45% in the first half. I think you guided to 44% at the start of the year. How should we think about it for the rest of the year and also into 2021? Second question is on your real estate exposure. Just wondering if you can give us a little bit color in terms of your funds exposure to retail, shopping malls, commercial, et cetera? And how these funds have been performing? Thank you.
Peter Harrison: Thanks Hubert, I'll let Richard to take the first.
Richard Keers: So Hubert, in terms of the comp ratio, we've been below our 45% to 49% sort of target range for quite a few years now. I guess, that's because we had – we saw very strong market conditions, and we wanted to get the balance right between looking after two of our key stakeholders, our staff and our shareholders. Our staff numbers have increased largely through acquisitions. And when we look to that, we've got to retain our talent. And therefore, we've increased our accrual rate to 45%. The overall comp pool is still down on that basis, notwithstanding our headcount has gone up through those acquisitions. So that's what we're accruing to in our management accounts. It's something that we need to look at in the second half of the year, but that's our best expectation at the moment.
Peter Harrison: And quickly on real estate, our fund performance has been excellent, partly because we've been very much avoiding areas, particularly High Street retail. Our primary focus is on logistics, that's the key, and we were very early on to that in storage. And we've been focused on the real growth cities, particularly Manchester, Berlin, et cetera, which have been good, so the Spinningfields development in Manchester, for example. So on real estate, we have good momentum because we're in the right places.
Hubert Lam: Thanks.
Operator: Okay, questions are still coming through. The next one comes from the line of Haley Tam from Credit Suisse. Haley you are un-muted. Please go ahead.
Haley Tam: Good morning everyone. Just a few points of clarification if I may. First of all, on BoCom, it's obviously very impressive momentum in the first half. I just wondered whether there were any specific drivers of the net new business of £9 billion. Or whether that's the sort of momentum we could look to continue from here? Secondly, just in terms of costs, the non-comp costs, if I can just simply clarify how much benefit exactly did we get in the first half from lower travel and marketing costs? Just so you can help us think about that. That would be appreciated. And then the third and final point, just a clarification, the investment performance, I think you said 69% of equities, 79% of fixed income funds outperforming over three years. Forgive me if I missed it. What were those numbers at the end of December, just so we can have a comparison? Thank you.
Peter Harrison: Okay. Thanks, Haley. I'm very conscious of man's results. So first of all, BoCom, net new business is $9 billion. I don't think you should put a straight line through that up to the skies because you'll see that the retail environment in China has been very buoyant in the first half. But it's been a number of successful fund launches, which have got that. And those assets for us have proved really quite sticky, which is not the case of all the fund launches. So I think that the underlying business has had good long-term momentum and it's particularly got good investment performance going forward, but please don't annualize £9 billion for too long. I'll get Richard to take the non-comp question. On investment performance, at the end of December, equities was 70%, it's 69% at the end of June; multi-asset was 49% at the end of December, it's 21% today; fixed income was 92% at the end of December, it's 79% today. I mean, those are the key drivers.
Richard Keers: In terms of those variances, travel and marketing, about an £8 million benefit in terms of travel, and marketing was down about £5 million. But we were – and that's against last – the first half of last year, Haley. But as I mentioned before, we were budgeting for a decrease in travel costs anyway, which was non-COVID related. So in aggregate, eight plus five, but against the first half last year, but we were looking to reduce travel anyway.
Haley Tam: Thank you. That's very clear. I think [indiscernible] is at 10:30, in case that helps. Thanks.
Peter Harrison: Good. Great. Okay. Perfect, the pressure's off.
Operator: Thank you very much. Moving on to the final question of today from the line of Mike Werner from UBS. Mike you are un-muted please go ahead. 
Mike Werner: Thank you everyone for the presentation, it’s very, very clear. Just a quick question. Concerning the momentum and strength that you've seen in the Solutions business, I guess, in a lockdown environment, are you guys being – are you guys able to refill the pipeline there as effectively, especially considering that most of your sales force is confined to their residences? Thank you.
Peter Harrison: Mike, thanks for the question. I think it's something we've been very focused on. But I think that this environment does help those firms with relationships where you are sort of already a part of the ecosystem. It's much more difficult if you're a challenger to establish new relationships. So in a perverse kind of way, if you've got Brandon, you've got standing and you've got relationship, you should be in a better position to pick up incremental bits and pieces because you're already a known commodity. So from a pipeline perspective and a relationship perspective, we feel we're in a pretty reasonable position, actually. What I'm more focused on is if we stay in this position for, let's say, 24 months, we're going to have to become a very much more digital industry, and that could change buying habits in a different way, particularly in mutual funds. But I think for the time being, I feel pretty relaxed, largely because we enjoy many of the relationships. We're not trying to make them for the first time.
Mike Werner: Thank you.
Operator: Thank you. That was the final question of today's Q&A. Thank you.
Peter Harrison: Great. Thank you, everybody, and very much appreciate all the questions. And look forward to seeing you all again in person in due course. Thank you.
Operator: Thank you for joining today's conference. You may now disconnect your handsets.